Operator: At this time, I would like to welcome everyone to the Weatherford International's fourth quarter 2011 earnings conference call. (Operator Instructions) I would now like to turn the conference over to Mr. Bernard Duroc-Danner, Chairman, President and Chief Executive Officer.
Bernard Duroc-Danner: Thank you. Good morning. Before Andy reads his prepared comments, I would like to add that John Briscoe who is our Chief Accounting Officer will sit with us in the conference room. With that, Andy, why don't you read the prepared comments?
Andy Becnel: Good morning. Before moving on to our prepared comments and Q&A, I'd like to remind listeners that this call will contain forward-looking statements within the meaning of applicable securities laws, and will also include non-GAAP financial measures. A detailed disclaimer related to our forward-looking statements is included in our press release which has been filed with the SEC and is available on our website at weatherford.com or upon request. Similarly a reconciliation of excluded items and non-GAAP financial measures is also included in our press release and on our website. The company is reporting our fourth quarter results on a pre-tax basis due to the following factors: One, management has concluded that the company has not remediated its previously disclosed material weakness in internal controls over financial reporting for income taxes relating to current taxes payable, certain deferred tax assets and liabilities, reserves for uncertain tax positions, and current and deferred income tax expense. Second, as a result of the continued material weakness over the accounting for income taxes, significant incremental work has been performed by Weatherford employees and external advisors during 2011 and early 2012, which management expects to result in roughly $225 million to $250 million of aggregate net adjustments to previously reported financial results for the years 2010 and prior relating to the correction of errors identified with respect to the company's accounting for income taxes. Of this total amount, we currently estimate that roughly two-thirds is attributable to fiscal years ending on or prior to December 31, 2008, although management's analysis is not complete. None of the adjustments is expected to affect the company's historically reported net debt balances. Based upon additional analysis and other post-closing procedures, designed to ensure that the company's consolidated financial statements will be presented in accordance with GAAP, the company believes the review of the company's historical tax accounts has been comprehensive and that the process undertaken has been thorough. Until we have concluded work on the above-mentioned adjustments, we will not finalize the company's tax accounts for the year ended December 31, 2011. However, we currently estimate that our income tax expense for the 2011 fiscal year will be between $490 million and $520 million, including credits and charges. This is for 2011 only and does not include the estimated impact of adjustments for 2010 and prior years mentioned above. Our actual cash taxes paid in 2011 were approximately $300 million or 33% of non-GAAP earnings before tax. The review of the income tax accounts is ongoing among the company, its advisors and the company's auditors. Once finalized, we expect to record the adjustments in the proper historical periods in the audited financial statements to be filed with our 10-K for the year ended December 31, 2011. We plan to file this as soon as practicable. A few important points I'd like to make about our perspective on the income tax issues and the benefits with the process. The process undertaken and the conclusions once finalized are progressed. As mentioned above, the process has been both comprehensive and thorough. Approximately two-thirds of the estimated adjustments in terms of dollar value relates to periods ending on or prior to December 31, 2008. A meaningful portion of the total estimated adjustments relates to reserves for uncertain tax positions that had not been identified or considered prior to us undertaking this process. There are not historical tax cash implications as a result of the adjustments. The company will continue to actively manage its worldwide tax risks to minimize cash tax outlays. The process has produced a better understanding of the value and value drivers of a multinational tax structure. It's a good structure. We'll apply these learnings as we move forward to harvest the structure's value to the company and its shareholders. The results will not be immediate. We expect them to take time and we also expect them to materialize. Moving on to our fourth quarter operational results, today we reported preliminary fourth quarter 2011 pre-tax income of $254 million or $352 million after excluding pre-tax losses of $98 million. The excluded items were composed of a $67 million charge for assets, principally in Libya as well as a $31 million charge for exit, restructuring, investigation and other costs. Fourth quarter revenues of $3.7 billion were the highest in the company's history. Revenues were 10% higher sequentially and up 27% versus the same period last year. North America revenue was up 5% sequentially and up 34% versus the fourth quarter of 2010. International revenues outshined North America, up 15% sequentially and up 21% versus the same quarter of 2010. Artificial Lift, Drilling Services, Integrated Drilling and Stimulation and Chemicals, all posted strong sequential growth. Segment operating income of $619 million improved 44% year-over-year and $93 million or 18% sequentially. Margins improved to 17%. The company's operations delivered 28% incremental margins sequentially and 37% incrementals in North America balanced by 25% incrementals internationally. Internationally, both Latin America and Middle East/North Africa/Asia region posted strong profit improvements of $42 million and $27 million, respectively. A $28 million aggregate increase in corporate, R&D and other expense, primarily attributable to higher professional service fees and foreign exchange losses, partially offset our operating improvements. During Q4 we generated EBITDA of approximately $790 million with D&A running at $289 million. This is an all-time highest quarterly EBITDA performance for Weatherford. Capital expenditures were $369 million for the quarter net of $34 million of lost-in-hole revenue. The full year CapEx, net of lost-in-hole finishing at just under $1.4 billion or approximately 11% of revenue. Net debt for the quarter decreased $112 million with improvements in operating working capital metrics for both accounts receivable and inventory, sequentially and compared to Q4 of 2010. DSOs dropped from 85 days in Q3 to 79 days at the end of Q4. Days sales in inventory improved five days from last quarter to 77 days. We plan to continue improvement on these capital metrics in 2012. Subject to the risks regarding forward-looking statements highlighted in our press release and public filings, we expect fully diluted earnings per share of approximately $0.30 before excluded items in the first quarter of 2012. Seasonal increases in Canada should be offset by seasonal declines in Russia, the North Sea, Asia Pacific and areas of the central region of the United States. For 2012, we currently estimate an effective tax rate of approximately 35%, although the actual rate may vary. We currently estimate our cash tax rate for 2012 to be below 30%. I'll now turn the call over to Bernard.
Bernard Duroc-Danner: Thank you, Andy. There is two aspects to Q4: one, the impact of a comprehensive and thorough review of our historical tax accounting; two, a very strong operating performance building on Q2 and Q3. At one end, the tax fees make it a messy quarter attributed to punitive 2011 estimated tax rate. We believe that once our 2011 and prior-year audited restated financials are filed, we will have secured the level of historical tax accounting accuracy, which at a minimum could be characterized as very reliable and a good foundation. This is progress. On a forward-going basis, our efforts will be on two fronts: first, improving processes permanently, remediate internal control over tax financial accounting; and two, extracting greater economic value from the multinational tax structure we worked so hard to build is fundamentally good. As Andy said, our expectations of business mix in 2012, we estimate a 2012 tax rate at 35%. We also expect tax rates to trend lower over time and dividends from this process yield better management and exploitation of our structure. From a more fundamental standpoint, Q4 was a strong operating performance for the maturation of operating mix. Our growth was up 10%, reaching for the first time in many quarters double-digit quarter-on-quarter performance, but with solid 27.6 points or 28% incrementals. In the quarter, we got just under $15 billion in run rate, '10 on '11 gain over 27% in topline growth. North America put revenue growth of 5%, strong incrementals of 37% and a rise in EBIT margins of 72 basis points to 22.6%. The performance was almost entirely earned in the United States. All product lines saw progression. Canada was flat on Q3, reflecting a long holiday season in December from the middle of the month. Latin America had an excellent quarter, one of its best in years. Revenues grew by 22.9%. Incremental grew a solid 31%, and EBIT margins grew by 360 basis points to 15.4%. All countries in Latin America showed progress. Mexico and Colombia were the top performers. The Western Hemisphere closed the year, a clear leader in financial performance. In Eastern Hemisphere, the European and FSU and Sub-Sahara region showed typical flat performance, both Europe and FSU entering seasonally low quarters. Sub-Sahara Africa grew strongly to make up much of the region's northern seasonality. Middle East, North Africa and Asia Pacific showed excellent quarterly revenue growth of 17.9%, good incrementals of 26% and improving margins of 350 basis points to 6.5%. Of course, this is a very low margin for a region that peaked at 25% vis-à-vis as of late. That region's margins continue to struggle with accelerated completion of punitive contracts in Iraq and low levels of activity in Libya and Algeria. Extensive startups in Saudi and Kuwait are beginning to reverse themselves. Saudi performance was double in the quarter, even though Kuwait was still around the startup cost. In Asia, the region performed very well, a strong performance in incrementals led by China. All the operating numbers, to give all the reasons together, added up to what should have been an outstanding earnings quarter. The progression was stopped by a combination of high corporate overhead expenses, as told by Andy, and mostly a much higher 2011 tax rate that both expecting us to make it to the future quarters. Lastly, the quarter closed to what has been a year of capital discipline. The company financed 27% of growth with $1.4 billion in CapEx and $940 million in incremental operating working capital. Setting aside about $500 million of maintenance capital, which is our best estimate, we grew $2.8 billion in revenues utilizing $1.8 billion in capital or roughly $0.67, an incremental capital for each dollar of incremental revenue. For us, that's good performance and consistent with our long-term focus on capital discipline without loss on growth drivers. Forward views. We remain constructive on North America, both topline and margin. The leap calendar will have a strong year. The market is just about 80% oil-based, and for us the naturally high market share in Canada, we expect to do very well year-on-year. The U.S. is a bifurcated market with oil rising from strength-to-strength and grappling for retrenchment. We have built a strong position all around the oil plays. As a result, we expect our U.S. business to show year-on-year growth topline and operating profit. Adding the NAM pieces together, when the full year is counted, our NAM margin should also be up. It should be up year-on-year and it should be up through Q4-on-Q4. But as expected, we ran NAM in Q4 at 22.6% EBIT margins. Our prior historical peak was just at 30%. Latin America should have an excellent year, granted on continuous progress in Mexico, Colombia, Venezuela and Argentina. We have a solid backlog of business and improved pricing. Execution will be the determining factor for financial performance. The European SSA and FSU region has two levels of prognosis. Europe and Sub-Sahara Africa expect solid growth, centered primarily around the U.K., Central Europe and Eastern Africa. Russia should go further. We expect stronger growth and margin improvements in that market. Russian progression is fueled by particularly strong backlog in drilling, formation evaluation, completion and Artificial Lift. MENA, North Africa, Asia Pacific is the obvious turnaround at each of the MENA segment. We expect MENA to improve in the second half HQ'12 from both the topline and margin standpoint. We believe punitive Iraqi contracts will be completed by the end the H1 '12, while most startups in Saudi, Kuwait, et cetera, will be successfully initiated. We do not anticipate at this time an improvement in North Africa, Libya and Algeria until late in the year, but the two prior factors should be enough to fuel a significant improvement in MENA's financial performance. Asia is entering the year with a very strong backlog in China and Australia, two largest markets. We expect Asia to show good improvements in all of its financial metrics of the year after Q1 just traditionally is seasonally low. Unconventionals in Asia will drive most of our progress. Finally, we incurred heavy expenses in corporate in Q4. We expect Q1 to show similar levels, but they should be tapering off in the balance of the year to more reasonable level. All in, 2012 should be a year of financial progression with strong topline growth and further improved margins as Weatherford seeks to secure high grounded performance. Capital-wise, we expect to commit our internally generated cash for funding an organic 15% to 20% topline growth in the year. We also believe we'll continue to show progress on all of the markets with capital efficiency. CapEx will remain comfortably in the range of 10% to 15% of revenues. It averaged 11% in 2011. Our targets for yearend DSO and DSI are expected to be 76 and 75. Looking out further and assuming a comparable level of organic growth in 2013, as we expect in 2012, we should have solid free cash flow in 2013 net of internal growth needs. The company has a strategic direction set around three interrelated industry trends: preserving our integrity, the rise in unconventionals and accelerating decline rates. These are strong industry secular growth trends. They should help carry our development. Finally, I understand how repeated setbacks on administrative issues are painful. But in this instance, I would characterize this quarter's events and income tax accounting as also constructive. Because we understand so much better our structure, we'll make us exploit that structure far more thoroughly and from healthy foundations. And to close what ultimately matters the most we'll remain focus on operations and executions and we'll get results. I will now turn the call to the operator for Q&A.
Operator: (Operator Instructions) Your first question comes from the line of Jim Crandell with Dahlman Rose.
Jim Crandell - Dahlman Rose: My questions have to do with taxes and currency going forward. You've been having currency losses for $20 million, $30 million a quarter it seems to me for the last several quarters. Should we model that in or do we have the prospect that those could be reduced to disappear going forward? 35% ongoing tax rate seems like a high tax rate. Are you being conservative or are you optimistic that you can bring that down maybe even materially over the next 12 to 18 months.
Bernard Duroc-Danner: 35% is our best estimate today. We characterize that as more conservative and aggressive when it comes to tax accounting. I am sure you can understand that. That's one thing. Do we expect that rate to go down? There are two things. One is that we'll manage the process far better than we ever did simply because we understand it far better than we ever did. So you should expect us to manage taxes in general and tax accounting in particular far better than we ever did. Therefore, we should make progress in exploiting the structure we have. The second thing you have remember is that to degree it depends on business mix. To the extent our international business will grow and prosper, you have a natural force that will tend to push our rates down. The structure we have is designed to blossom when the international business is doing well. And in fact, the better the international business does, the more productive the tax structure is in yielding a low rate. With respect to the first question on foreign exchange, it is too high a level of losses. For the most parts, it's not a cash loss. Perhaps you understand. It is a level that needs to be brought down and it will be brought down. I don't know what to suggest in terms of modeling, being more cautious today. Andy can give you further directives on it. But it is a level that should come down. It is unnecessarily high.
Andy Becnel: Given the volatility in the currency markets across of hedging exposures is significantly higher now than we've seen historically. In addition, with the growth of the company, your net monetary asset exposures are also higher. And so both of those things drive cost each quarter so that you understand in terms of what we model is about $15 million of cost. And I think that that would be the best guidance I can give, although obviously the final number can vary significantly from that. This is an area that we're focused on. We realize that it is too expensive. We realize that it is punitive in terms of looking at losses in the $30 million range. And so our focus is really on, as always, reducing the exposure itself. And if there are things that we can do internally, we manage that, and then also trying to find the most cost effective hedging strategies to be able to manage that exposure.
Jim Crandell - Dahlman Rose: Two questions about the Middle East, Bernard. One is the one-off of unprofitable contracts and the other is the significant ramp-up of revenues and profitability in Kuwait and Saudi. Those are two of the bigger items driving profits higher in 2012 by your comments. Will the real benefits of both of those items be delayed until the second half of the year or should we actually see some good improvement in either one of those in regards to the first and second quarter.
Bernard Duroc-Danner: I think the startups and things like that, when you have many of them happening at the same time, they gradually get better. So you should see improvements in the quarters between now and the second half of the year with margins in MENA essentially as some of the startups turn to profitability. So that's one thing. One-off loss contracts which were bid too low a couple of years ago, you can't do them as effectively as you can. Our sense is that they will be finished let's just say in second quarter faithfully, so that we finish what is ultimately a nonproductive use of assets and people and financial recourses. And so automatically your margins go up.
Jim Crandell - Dahlman Rose: My understanding, Bernard, is on newer contracts you're seeing more signs of actual pricing improvement in some regions. Could you elaborate it?
Bernard Duroc-Danner: It's not huge. But for the past nine moths or so, all the contracts that we've taken on in Middle East, but not only in Middle East, we have been very, very careful to take on to them only at terms that materially improve than what we had in the past. Otherwise, we just walked away. As many of the businesses that we are in, where we compete with very large competitors, it depends which ones, we are able to do that I think quite successfully. So lots of the startups and projects and contracts we're looking on have pricing that is materially above what they used to be two or three years ago. And it varies.
Jim Crandell - Dahlman Rose: And last one, Bernard. The better results in North America, am I right that they only reflect the very early stages of pricing improvement in Artificial Lift and most of that is still yet to come?
Bernard Duroc-Danner: That's correct. It's also volume.
Jim Crandell - Dahlman Rose: But on the pricing side in particular?
Bernard Duroc-Danner: Yes, that's also true. That is also correct, yes.
Jim Crandell - Dahlman Rose: And would you expect to see that largely in the first quarter?
Bernard Duroc-Danner: No. These are backlog businesses, and it's not only artificial. Artificial suddenly has a key position. We should see progression coming out of the United States and that seasonality kind of comes in play of course. We should see progression coming out of United States North America just not every quarter, gradually.
Operator: Your next question comes from the line of Waqar Syed with Goldman Sachs.
Waqar Syed - Goldman Sachs: My question relates to international land rig count. Obviously we're seeing a pickup on the offshore side. What's your prognosis for the land rig count growing globally and if you could talk about different regions?
Bernard Duroc-Danner: I think the land rig count, which is something we don't particularly look at, because we tend to be just about as much in completion and production as we are in drilling. For the land rig count, our impression is that you should expect a high-single digit to this sort of progression in the land markets and around the globe. And probably a little bit scatter in Latin America, a bit more subdued in the European play, because things take time. And I think also midpoint sort of level in Russia vis-à-vis today. Middle East and North Africa is still I think slow to take off. If you just quit, you'd say that the actual land drilling activity in the international market should be a little bit above single digits in Latin America, a little bit below single digit, high-single digits in the rest of the markets in simple terms. Again, this is not something we necessarily obsess about as a lot of what we do has to do also with intervention and existing well bores and/or typically for a completion and production activity.
Waqar Syed - Goldman Sachs: And could you also talk about the pricing. You mentioned in some areas you start to see second half and you're being more disciplined. But generally, could you talk about like the competitive landscape still on international side and especially in the areas that you compete aggressively?
Bernard Duroc-Danner: I will just say that we have skirted I think reasonably well some of the difficult competitive structures that have risen let's say in the past nine, six, three months. How? Essentially by trying not to participate in the pursued contracts and things like that where we felt that that was too high of a level of competition and I would say an unnecessary level of competition given the price. We are just a little pragmatic. Remember also that if you look at the service and product mix that we have, in many respects I would say that we're probably more complementary than we are competitor for the other three large players or put it in another way, I would sketch probably about two-thirds or something like that of our business as being one that we do not compete with our three larger peers or we compete with one of them or perhaps sometimes two, but very times with three. So we're not really, although by size we may be almost comparable to some of them by competitive exposure, we can be. But this is actually more minority than this majority of what we do. So all the other businesses that we're in, the competitive dynamics will be different.
Waqar Syed - Goldman Sachs: And then finally, Andy, with regards to the 10-K, you think you'll be able to get it done before the end of the quarter?
Andy Becnel: Before the end of Q2, absolutely. At this point, we don't have any reason to believe that we would not be able to complete that filing by March 15.
Operator: Your next question comes from the line of Ole Slorer with Morgan Stanley.
Ole Slorer - Morgan Stanley: Bernard, did I hear you correct in guiding roughly 15% to 20% revenue growth in 2012?
Bernard Duroc-Danner: I think I said that Russia would have a very strong year in 2012. It is true that the level of backlog we have in Russia compares from historical standpoint than the one that we have in Latin America for example. Actually also in different areas of Asia, they are very strong. And it covers drilling, it covers completion, it covers Artificial Lift, also formation evaluation. We've been quite successful in our ability to exploit, deploy the assets that we acquired from TNK three years ago, four years ago. And we've been very successful in introduction of our technologies and this will be doing well in Russia. And just to say that I don't know if it's going to be 20%, it's going to be 10%, it's going to be 30%, I don't know. I have an opinion, but I'd rather just have them rather speak for themselves.
Ole Slorer - Morgan Stanley: Maybe one follow-up question on Russia. Russia was a little bit drag on the Europe/CIS/West Africa market in the fourth quarter according to your press release. I was a little surprised by that. Typically, Russia does okay in the fourth quarter. So what was that triggered that?
Bernard Duroc-Danner: Ole, there is nothing else. I can't point to anything else. The granularity in numbers is useful and there comes a part where they don't tell you anything and that stage, there is a repeat of a few quarters. And Russia will have a seasonal low in Q1. I think Russia will do very, very well in 2012. There's nothing else than that. If you owe the details like we do, you'd come to the same conclusion.
Ole Slorer - Morgan Stanley: No, I think Russia is looking great, I agree with you there. But just one final question to clarify on Artificial Lift, it's more a backlog business than some of your other businesses. And we can all see what's going in the oil rig count and the lag at which this business kicks in. So can you help us a little bit with where does the margins stand in Artificial Lifts in this last quarter relative to where pricing would dictate if you were to reprice everything today? And were things relative to past prior peaks at this point or is there still room to grow?
Bernard Duroc-Danner: I don't think. I mean there are two things. There is pricing and there is volume. I mentioned volume early on with one of your colleagues. The reason is that with volume rising, the manufacturing economics become just terrific in terms of absorption. At the same time, we're able to expand capacity in a manner that's very efficient. We should see manufacturing-driven absorption both to drive margins. And often one tends to forget that. With respect to pricing, you've got pricing effects to percolate through our P&L in Q1 and in Q2 and some still in Q3. And then the various pricing effects that we've put through would be entirely through our P&L. So we'll say full in Q3, much of it in Q2 and some of it in Q1. The market is as you would expect exceedingly strong. On and around anything that is particular to oil, this being a class example, but not the only example. So it is not unreasonable to expect with so much volume to expect pricing still have some life in it, further pricing increases. I'll give you that much. With respect to whether it will cross peak margins and everything else, very much likely a question on the Russian volume, I'd just rather for us to show it through our NAM P&L and other P&L in terms of internationally and to anticipate.
Ole Slorer - Morgan Stanley: And finally, on the Middle East and notably on Iraq and the problem contracts that you've been working off there particularly in the South, is that behind us now in the first quarter?
Bernard Duroc-Danner: The contract will be over I would say reliably in Q2. I'd be happy to say it will be over in Q1, but I'll say in Q2. It will not go beyond. And it was a very large contract. It was rather a good contract. Even though I suspect you won't agree it, I'll also add that even though Iraq is a lower margin market than Saudi and Kuwait and places like that clearly, there are businesses to be done in Iraq that are legitimate in terms of financial returns and risk. We have to pick and choose. We obviously did not do two years ago, but we have done in past nine months. If you do pick and choose carefully, you can do very well in Iraq, albeit, as I said, not as well as in the neighboring countries in Saudi and Kuwait. So what I am trying to tell you is although I can completely understand skepticism about Iraq, too many people, too much money, too much haste, too low pricing across the board, and this is in the south, not in the north. We clearly also are showing some financial difficulties around existing contracts in Iraq. We have described it. We've made it very transparent. So it is what it is. We also say do not write it off. It's a place to also service business, because as I said, there are pickings that are legitimate. You just have to be very careful.
Ole Slorer - Morgan Stanley: Artificial Lift and oil being strong in North America and yes clearly seeing international markets recover, should we expect international or domestic to be the biggest revenue growth contributor in 2012?
Bernard Duroc-Danner: International will have a higher topline growth rate than North America. North America will be up.
Ole Slorer - Morgan Stanley: How about earnings contribution?
Bernard Duroc-Danner: I spoke that international will have a larger delta in earnings contribution than North America, because we are a little different in terms of exposure. We are not expecting North America to be a drag on the country. North America will contribute to earnings expansion also, but less than international.
Operator: Your next question comes from the line of Angie Sedita with UBS.
Angie Sedita - UBS: Andy or Bernard or maybe even John, the adjustment in 2011 from $300 million in taxes to potentially $490 million to $520 million, obviously significant, and then you mentioned it does not reflect prior year. Could you give us some color there, how much is tax, how much is in charges, obviously a competitive issue, but briefly?
Andy Becnel: If you pick the $490 million to $520 million, let's just for simplicity purposes and just for discussion work with $500 million as a starting point, included in that $500 million are what we would typically categorize as tax effects of nonrecurring costs. So for instance, the write-off in Libya, $67 million, there is no tax benefit for that write-off. Also included in that would be taxes that we've triggered on restructuring transactions. That was approximately $20 million. And if you want those together with changes in terms of accounting for uncertain tax provisions, you really get down to what we would look at as a recurring number for 2011 of about $400 million of income tax expense. Now, let's feel about $130 million difference than we would have expected. That $130 million difference, again roughly speaking, about half of it has to do with withholding taxes and the proper accounting treatment of withholding taxes. And the other has to do with stranded costs or the inability to use foreign losses. Both of those issues are things that we've learned about the structure, that have come to light as a result of deferral process that we've undertaken, and there are things that we can influence and have an impact on going forward. And I think it's reasonable for you to assume that those will be our areas of tax in terms of being able to extract better economic value of our international tax structure, which is a good structure. I cannot emphasize that enough. What hasn't been good about it is our lack of understanding and fully appreciating how that structure performs through different economic cycles and the sensitivity of our tax expense as to how we'd manage certain costs in that structure and how we document our tax positions.
Angie Sedita - UBS: To be clear, the internal control issue solely focuses around taxes, not end of restatement that we'll have or solely will be regarding your tax obligations, not regarding your operational results. Is that correct?
Andy Becnel: That's absolutely correct. And I'll let John add anything that he'd like to on that.
John Briscoe: Yes, Angie, everything that we're focused on is below the line on income taxes. We're very confident about our above-the-line numbers and our internal controls in that area.
Andy Becnel: It has all it's been about taxes and tax accounting, bad enough as it is, but this is nothing more than the dismal event of last February, except this one is a studious chapter, if you will, one that has come through the process of understanding what we have. And I think it's like progress, because at the end we're reporting something that was wrong. We are also reporting things were wrong, but from a position of knowledge. Knowledge now on the process and knowledge on the history of what we have. This goes back many, many years actually and it's only taxes.
Angie Sedita - UBS: Then finally, on international margins in 2012, you exited Q4 2011 about 12%. Thoughts on your exit rate for 2012, comfortable with the high-teens or thoughts closer to the mid-teens?
Bernard Duroc-Danner: The trend is positive without a doubt across the board. And so it will be where it ends up being. I don't think it's helpful for me to guide you on the upper side of the ledger. I just think it's very healthy. I can't think of a single international market we're in and included in this the Middle East, which is normally an area of strength. I can't think of a single international markets where we are not operationally, market-share wise, contractually in terms of turns as well as in terms of volume contracts where we have made a lot of progress. So I mean I have some idea where we might translate. What I can say is that mid-teens are safe.
Operator: Your next question comes from the line of Joe Hill with Tudor, Pickering, Holt.
Joe Hill - Tudor, Pickering, Holt: I hate to beat a horse that's looking pretty dead here, but the tax guidance for '12 essentially implies zero benefit for the redomestication in Switzerland. And I'm trying to comprehend mechanically why that's the case? And then, how we leverage the tax structure going forward a little bit better in order to get that rate down, because essentially it look like you have a U.S. tax rates right now?
Andy Becnel: I think it's a very fair question and a fair observation. Number one, remember that the cash tax rate that we're forecasting for 2012 is meaningfully lower than the book tax rate of 35% that we're providing as approximate guidance. We do in many respect, try to run ourselves as a private company in terms of feeling that we're owners, so cash taxes get a lot of focus. So it's very important to us, getting our book taxes right, is also important to us. And without getting into all of the new launches and too many discussions about how to utilize a multinational tax structure, given the process that we've undergone, the earnings and the understanding of what savings we can generate by using the structure differently than we have in the past and paying attention to different types of things. Again, for different economic cycles we can generate and we're confident that we can generate incremental savings. And as Bernard mentioned, we can progressively and gradually do that overtime. But it will take time. We do not have solutions available to us that we can instantaneously switch and immediately begin to get better rates in a material way that will materially affect the rates. So the implementation of the planning throughout the year is what's reflected in the 35% estimated rate. And perhaps we can do better than that, perhaps not. I will also tell you that the estimated rate does not include any potential charges or credits with respect to reversals prior reserves that we will offset out at the end of 2011, for our uncertain tax positions. So it will take time, Joe, it's a very fair comment. But we think that the long term rate should continue to trend lower. And if we look at other companies that have multinational tax structures and we look at rates to come out of there in general, 15% to 25% probably in our industry, more like 25%. We do understand that we acknowledge it. We see that. We look at it as a goal. But it will take us time to get there.
Joe Hill - Tudor, Pickering, Holt: Andy, what do you know today about how the tax rate is calculated for book purposes relative to what you guys thought six months ago?
Andy Becnel: A lot more, I would say that we are likelier ahead in terms of understanding the pieces of what goes into the calculation globally, the effective rate. More importantly, we're aware of and with the process uncovered for us a significant piece of it was discovering uncertain tax position that we were not aware of, twelve months ago.
Bernard Duroc-Danner: Please explain what uncertain tax position mean?
Andy Becnel: Sure. For instance, Joe, an uncertain tax provision could be, if we file this paper properly and get the document filed up properly in xyz jurisdiction. If you technically did not get that done correctly, you may have a potential exposure. You have to assume that the taxing authorities know all the relevant fact and that's how you judge it. It doesn't mean that they end up having all those facts, so you say it is my deduction or it's my benefit in this case at risk because I didn't technically get something done. They are curatives or I would say remedial actions that can be taken. And so you put up a reserve to that. But there are remedial actions that can be taken subsequently, for instance, in 2012 or future periods such that you eliminate or reduce that exposure.
Joe Hill - Tudor, Pickering, Holt: The way you frame that suggest to me that there might potentially be a cash tax exposure as opposed to just a book tax exposure in the future, is that correct?
Andy Becnel: No.
Bernard Duroc-Danner: What he was trying to hint at, Joe, is that depending on how well we document correctively tax problems which have been reserved upon. It is possible that those reserves are not needed any more. And that would actually, this is a point of fact, lower your book taxes. That's what he was trying to get to. You have to actually think corrective measures. So if you reserve for it which is appropriate, this is what we're doing. And then if corrective measures are taken and if indeed the tax authorities of the developed countries do not pursue the case or get convinced by corrective measures, as a case maybe and simplifying. Then at that point a particular measure is not necessary. And it will result in a lower book tax. That's what Andy was trying to explain.
Joe Hill - Tudor, Pickering, Holt: And switching gears real quickly, the Canada, Bernard, you mentioned that I think it was the second half of the month of December. You had holiday impact which I know we've seen in some other companies, in the States sI hadn't realized it had extended itself to Canada. Has that reversed in the first quarter?
Bernard Duroc-Danner: Yes, that's not unusual. Time is very, very in western Canada now, the unemployment that was possibly negative and they could use some more labors and some more skills and under those circumstances, the people looking at overtime or everything else. When holidays come around there isn't this hunger to continue working and make more money, there is hunger for free time. And so as a result, it is not unusual, the clients actually lay down the activity for good period of time. Give a break to their work force and then to gear back up again very quickly towards the end of January. When times are quite good invariably holidays are respected. When times are not so good, people are just happy to have a job and they work through the holidays. That's kind of the rule of thumb. And what happened in Q4 is I could almost have predicted it, but of course for Q1 we'll try to make up for it. It wasn't bad turn in Q4. It for us didn't grow topline or margin-wise Q3 and Q4. So whatever you see North America is really the result of United State.
Operator: Your next question comes from the line of Kurt Hallead with RBC Capital Market.
Kurt Hallead - RBC Capital Market: I wanted to get a general sense as we head out in 2012 and you look at the improvements in margins in your international business, given what you know that you have in backlog and the contracts that are rolling off in your MENAAP region in total. What'd be a reasonable expectation in terms on an exit rate for fourth quarter 2012 margins in that region, so 2011 was 6.5% in the fourth quarter. Where do you see that approaching in the fourth quarter 2012?
Bernard Duroc: Double digit for sure and I'll probably leave it at that.
Kurt Hallead - RBC Capital Market: And then just the other follow-up I had for you was on the North American front. When you think about incrementals on a year-on-year basis predicated on your comments about improvement in North America. What kind of incrementals would you be looking at in 2012?
Bernard Duroc: Incrementals on a year versus year?
Kurt Hallead - RBC Capital Market: If you look at 2012 incremental margins for North America, what kind of general range would you be looking at based on what you know is in the backlog right now?
Bernard Duroc: I would say year-on-year north of about I think 30%.
Kurt Hallead - RBC Capital Market: And then just one last thing, just on the tax rate for the fourth quarter. If I understand that correctly, Andy, is the effective tax rate then based on what you provided us, $300 million cash tax for the year that doesn't mach up with the book tax, the book tax is at $500 million that you kind of reference for the year. Am I understanding that correctly for 2011, cash tax $300 million, book tax closer to the $500 million, is that correct?
Andy Becnel: That's correct.
Operator: Your next question comes from the line of Mike Urban with Deutsche Bank.
Mike Urban - Deutsche Bank: I had a follow-up on Joe's question a little bit. You've referenced repeatedly and pretty emphatically that you think that the tax structure you have is a good one. I mean what gives you that level of confidence, I mean, obviously we haven't seen that to date. And I guess maybe to look that in another way, have you been able to back-test that in a way that says on a normalize basis this is the benefit that we'll get. You don't have to define when that is, but if you could give us sense of what that is or what that might look like?
John Briscoe: As a part of this process we've brought in outside advisors to assist us not only with remediation work, but also the additional testing that we did to get comfortable that that our numbers were right and would be on the GAAP basis. But part of that work that we had them do was to give us additional insight and to do some, I'll call it stress testing of our structure. And we believe based on not only our work, but also input from our outside advisors that we have a very good structure that is dealt for strong international performance. And when we have a very strong domestic performance then that affects us negatively. So the direction we're headed with our operations as well as the additional knowledge that we have with our income taxes and the drivers of our book tax rate, we think that actually give us an opportunity here to maximize and leverage that structure as well as pull the levers that we can pull to help optimize it.
Bernard Duroc-Danner: I think the tax organization for the past six, seven years did two things quite well. They designed a tax structure, which as John described from not only our opinion, but some outside opinion also is very good. Yes, it is dedicated for certain business environments, all tax structures always are, because they don't have a tax structure that optimizes any business environment. There is always a business environment where you'll do better. In our case, it's a strong international market. It is not unusual for tax structure like that. So we designed over the years, what appears to be a well-thought-out and of course a complex multinational tax structure. The second thing is that over the past six, seven years they also did a decent job, not perfect, but decent job in managing the cash tax aspect of our business, meaning if you analyze the cash taxes in this company, it will be reasonable. The problem has been that in the discipline of documentation, the follow-through of procedures that needed to happen, so that for me I think from a tax accounting standpoint from the book taxes, you are qualified for certain credits in the way you ran your taxes. We didn't have that kind of a discipline. So the organization broke down there. And I think in simple terms, therein lies the problem. That doesn't take away the fact that structure itself is a very good one, not one that we need to sort of revolutionize in any way or form. We just need to utilize it properly.
Mike Urban - Deutsche Bank: And shifting gears over to the operating side, you'd mentioned that North Africa is probably a latter part of your recovery, which makes some sense as a whole. I think I might have missed your comments on Algeria. Are you including Algeria in that as well?
Bernard Duroc-Danner: North Africa has only two markets. I mean no chances for Egypt or Tunisia or even Mauritania or Morocco. They're all interesting markets. But in terms of oomph, there is Libya and Algeria. Libya, I know we characterized it by saying that it's no low sort of market, low being Libya and low being Algeria for the time being, not forever. Libya is in a state of controlled confusion. And I don't think that you are in a position to talk also for the operations on the light scale yet. Will you be later on the year? I hope so. So it is a fair, fair assumption to expect that at some point in time, middle of the year or so, there will be some measure of organizations to progress from controlled confusion to something that is better and that the international operators as well as the Libyan NOC will start being active. I expect that to happen. If it does, certainly not included in our thinking financially for the year, I expect it to happen later in the year. Algeria is a entirely different problem. Algeria is slow, slow for lot of reasons which probably go beyond what a conference call can help with. But it's slow and it will not be slow forever, but I suspect it will remain slow for the balance of the year. In fact, I said something earlier on that I couldn't think of any parts of our international organization will not do materially better in '12 than we did in '11 and so forth. Perhaps, Libya will not be material anything this year and Algeria will not do particularly better this year than in the prior year, perhaps a little bit at the end of the year. These two would be two exceptions. But overall, what I said stands.
Mike Urban - Deutsche Bank: In Algeria, there are some contracts that are maybe specific to you. It seems like we're generally hearing there is not a great environment in Algeria, but one that has been improving. I know you had some friction, if you will, in terms of contract rollovers and a change in the bidding processes. Is that still an issue on your particular work?
Bernard Duroc-Danner: Very much so. There will be an honest noise from one company to the next. For example, some of our comments in certain markets maybe viewed as more positive than others, and this reflects the idiosyncrasies of a particular company. So that's fair. So I guess in midst of some things, when it comes to Algeria, I would say that we are more cautious than maybe some of the other companies. A fair point.
Operator: Your last question will come from the line of Doug Becker with Bank of America-Merrill Lynch.
Doug Becker - Bank of America-Merrill Lynch: Let me switch in from tax to two other topics that maybe difficult to give too much color on. Just an update on FCPA and what the outlook is for asset sales as we go through 2012?
Bernard Duroc-Danner: What was the other question, Doug?
Doug Becker - Bank of America-Merrill Lynch: Just potential asset sales in 2012?
Bernard Duroc-Danner: Well, I don't want to say about it, but what I can say about the DoJ process, I'll say to a degree, I think it fell off the screen as it were. For us, it moved so slowly that I feel I can't tell you. So I don't have much of an update that I can tell you. And actually, even if I could, I will obviously not update. That's the first thing. The second thing is the asset sales. Well, I think we are progressing. We hope to have a report on first asset sale I'll say in the next few days or something like that. Maybe we'll wait until Q1 to give you that report. It's depending. So it is progressing. It's slow. As I described it, when we initiated it, it would be a long process and it would be sort of an increment slice-by-slice. Again, the first slice should come out if it works, of course. It has to be completed in the next 50 days or so.
Doug Becker - Bank of America-Merrill Lynch: And then on Latin America, nice bump in margins in the fourth quarter. Just any color on the first quarter transition, just any seasonality or something, how sustainable are those 17% margins?
Bernard Duroc-Danner: There is always seasonality. So we should expect some of that to impact Q1. I do think that Latin America will have a very good year. I think we'll be disappointed if Latin America completed the year 2012 without being not only strongly on topline, but also show continued margin improvements again year-on-year or Q4-on-Q4. Thank you and that completes our call. Thank you very much for your time.
Operator: Ladies and gentlemen, this does conclude today's conference call. Thank you all for participating and you may now disconnect.